Operator: Good day, and welcome to the Cable One First Quarter 2020 Earnings Report Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Steven Cochran, CFO. Please go ahead.
Steven Cochran: Thank you, Ailey. Good afternoon and welcome to Cable One’s first quarter 2020 earnings call. We appreciate you joining us today. Before we proceed, I’d like to remind you that today’s discussion may contain forward-looking statements relating to future events and expectations. You can find factors that could cause Cable One’s actual results to differ materially from these projections listed in today’s earnings release and in our recent SEC filings. Cable One is under no obligation and expressly disclaims any obligation, except as required by law, to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, today’s remarks will include a discussion of certain financial measures that are not presented in conformity with U.S. Generally Accepted Accounting Principles. Reconciliations of non-GAAP financial measures discussed on this call to the most directly comparable GAAP measures can be found in our earnings release or on our website at ir.cableone.net. Joining me on today’s call is our President and CEO, Julia Laulis. With that, let me turn the call over to Julia.
Julie Laulis: Thank you, Steven. Good afternoon and I want to thank all associates, shareholders, analysts and bankers who are taking time to join us during these unprecedented times. I [indiscernible] off by mentioning our associates as I am both proud and humbled by the opportunity to work side-by-side with them each and every day. Words cannot express my gratitude for all they have done during this turbulent time. Our associates have worked tirelessly to serve our communities throughout the COVID19 pandemic and once again the passion and commitment they've shown for our customers and our company are simply remarkable. From the onset of this crisis, our primary focus has been on the health and safety of our associates and their families. We've instituted multiple initiatives to ensure our associates are taking care of so that they in turn can continue to take care of our customers. As part of our pandemic response our risk associates and those who needed to work remotely to care for their children were able to work from home almost immediately, quickly followed by more than 90% of our corporate and call center associates. For those it was critical to continued operations who are unable to perform their jobs from home, we implemented rigorous new safety protocols and procedures based on national and local guidelines. In addition, we implemented Purpose Pay, a 25% premium to hourly-based pay for associates who are asked to leave their homes in support of our company's purpose. To reduce financial uncertainty for our associates and allow flexibility in caring for their families during this stressful time, we enhance our Time Out program. That included providing up to 80 hours of additional emergency paid time off for our associates to care for themselves, for their family members. For associates in need of more time our enhanced emergency family leave provided an additional 10 weeks of job protective leave of two thirds regular pay. Our COVID19 response is being led by a cross functional incident management team that began proactively planning in February for the challenges we would face. Since that time the team has worked around the clock to address the unique situations and conditions impacting our 2700 plus associate in more than 950 community served across 21 states. In addition to daily briefings and communication to ensure our associates were kept well-informed, this team was in constant contact with our leadership team, enabling the sharing of key information necessary to make important decisions in a rapidly changing environment. They also devoted enormous efforts to ensure we had adequate supply chain for customer equipment as well as personal protective equipment and work from home supplies for our associates. These communications and efforts are ongoing. Our commitment to keep our customers connected to what matters most has never been stronger than through this crisis and we have put in place several measures to stay true to that promise. The healthy is the financial burden of those impacted by this pandemic and to provide continued connectivity for our customers and communities we initially made the following 60 day commitments on March 13 as part of the FCC's Keep Americans Connected Pledge, which we recently extended to June 30, 2020. We are waiting lately from suspending disconnection of Internet services for residential and small business customers who are unable to pay their bill through the destruction caused by the pandemic. We understand how important conductivity is especially during this time and want to do our part to keep our customers connected to loved ones as well as work and school activities while they remain at home. We've opened up more than 140 free Wi-Fi hotspots in local office parking lots and other public areas across our footprint for public use during the crisis. Work continues to open additional Wi-Fi hotspots in other public areas. In addition to those initiatives we implemented a variety of enhanced measures beyond the pledge. On those efforts we suspended charging data fees beginning on March 19 to these customer concerns if they began to use more data than normal and not change with extended through June 22, 2020. Given recent usage patterns, we are also evaluating our existing data plans and anticipate adjustments when we resume our standard service. We're also offering a low-cost 15 mg residential Internet plan for $10 per month through June 30, 2020 to help low income families and those impacted from COVID19 challenging such as senior citizens and college students. Additionally, we partnered with local school districts across our footprint to provide Internet service for students and families unable to afford it on their own through June 30, 2020. School districts accepted direct billing and determined eligible households for the service which enabled at risk students to finish out the school year. In an effort to ensure vulnerable senior citizens and those at greatest risk receiving nourishment they need during this pandemic, we donated $150,000 to the Meals on Wheels COVID19 Response Fund and $150,000 to local food banks across the 21 states we service. And finally and possibly our most impactful efforts for the individual initiatives of our circuits and our systems who have taken it upon themselves to support their local communities. Just a few examples include the remaining funds to help pay for extended childcare and providing meals for healthcare workers and first responders, delivering books and materials to senior centers and surprising customers with local restaurant gift cards. These efforts truly speak to the commitment of our associates that they have to their communities and how we all can come together to hold each up in times of crisis. I know I said this at the top of the call, but it does bear repeating I cannot say enough how proud I am of our Cable One team and how we've taken care of each other, our customers and our communities over the last few months. Before discussing our operations I think it is worth noting that many of these efforts are a reflection of our purpose which guides us every day to provide communities to connectivity during which is their world. Simply put we are remaining true to who we are and I'm confident that by staying the course, we'll not only weather this storm but come out stronger. I'm very grateful to be in the [indiscernible] industry at a time when we can make an impactful difference for so many by providing an essential service of our critical infrastructure. We laid the foundation roughly seven years ago with our strategic shift to prioritize residential agency and business services and deemphasize video. Today that decision continues to pay dividend as our infrastructure has been engineered to support the speed and volume of data needed during this time for residents and businesses. We're also very fortunate to operate in less sense geographically dispersed markets that have experienced much more limited health impacts from this virus so far. We were off to a great start to 2020 prior to the COVID19 pandemic with each months during the first quarter saw larger agency ads from the same month last year. As the crisis unfolded however and more people began working, schooling and getting their only entertainment compound, demand for reliable high-speed data connections increased significantly. We experienced an upthink, uptick in residential agency sales during the last two weeks of March that has thus far continued into the second quarter. In the first quarter we added more than 18,000 residential agency customers. Our excluding Fidelity, our year-over-year growth rate was 4.2% and in the second quarter we've already added more residential agency customers in the first month that we did throughout the entire first quarter. I want to take a moment to thank our technician who not only managed to complete an increased number of installations during this challenging time, but found innovative ways to take care of our customers as well. As one example, because our technicians were no longer entering home to complete installs for their health and safety and that of our customers, our team created video chat up that allowed our technicians to walk a customer through completion of the installation from outside the home. Data usage also dramatically increased for the quarter with average consumption per customer increasing more than 34% versus the prior year and nearly 12% from the first -- fourth quarter of 2019 just slightly less than 390 gigabit per month. We are pleased to share their network is weathering these increased demand of strain. Throughout the quarter, during peak usage our network utilization averaged less than 30% for downstream traffic and less than 20% for upstream traffic. Over the past three years, we invested more than $600 million to stay well ahead of the consumption curve and bring fast and reliable internet to rural communities across our footprint. The return on that investment for the benefit of our customers and communities is readily apparent and allowed us to strengthen our capability to grow and compete into the foreseeable future. In addition to the increased demand for our core product, we've also seen an acceleration in the adoption of self installations, online and video chat, self-service web orders and reduced travel with the increased adoption of tele work, the benefits of these digital transformation are not only realized in lower operating cost but increasing customer satisfaction scores. We expect some or all of these shifts may persist when impacts from the pandemic subside which could result in longer-term benefits. From the business services side, in Q1 we saw continued revenue growth with year-over-year increases of 22.7% or 11.9% excluding Fidelity. However, unlike our experience with residential agency the COVID19 pandemic has caused some pressure on both existing and new sales to small business customers which make up a little more than half of business services revenues. We're working closely with small business owners to help create a bridge until the economy reopens and they can resume some semblance of normal operations. As of last week, we had a decrease of approximately 1% in monthly reoccurring revenue for commercial customers that have either been paused or downgraded. The strong growth in our two core lines of business allowed us to generate a total of $321.2 million in adjusted EBITDA of $157.7 million in the first quarter. Our adjusted EBITDA results factored in a combination of lost revenues and incremental expenses nearly $2 million related to COVID19 in our response. Our management team and Board of Directors have always been focused on long-term value creation and that continues to be our focus today. That being said, we understand the desire for clarity around what is happening now. We're seeing some of the fundamental changes, businesses and customers are adopting during the pandemic, which are in alignment with our company's strategies. Although we can't predict the duration of the current environment or the impact of the economy in general, we do know the impacts our business has already felt during this emergency and how the industry generally performed during the last recessionary periods. The ultimate effect of the items I'm about to discuss are obviously uncertain and may fluctuate based on a variety of macro and -- macro and micro factors as well as any potential legislative or regulatory efforts. Advertising sales, business services, late connect fees and the data overage charges on the residential data are the revenue items most negatively impacted in the near-term. Labor costs, bad debt and donations to support our communities are the expense items that have been elevated the most in the near term. Longer-term impacts assuming the intern extended recessionary period can't be predicted because we can't say for certain how consumers will behave. Our industry has historically been well-positioned to weather a restriction. We believe that the critical importance of HST from most households will only grow in our value priced and reliable HST products will be there to serve our customers. If history is our guide, the risk for video customer downgrades in turn is likely more significant. Yet as we have discussed on previous calls, our remaining cash flow in this line of business is minimal. So while we are certainly feel some effects from our session, we feel reasonably well positioned for financial sustainability and future growth. Lastly, our conservative balance sheet only adds to our confidence with respect to our financial position. And now I'll turn it over to Steven for a discussion of our first-quarter results as well as our financial position, liquidity and leverage.
Steven Cochran: Thanks Julie. The first quarter of 2020 produced solid financial results. Revenues for the first quarter were $231.2 million compared to $278.6 million in the prior year quarter representing a 15.3% increase. This increase was fueled by residential HST revenue increase of 19.4% and business services revenue increase of 22.7%. Excluding Fidelity operations, total revenue increased 3.8% year-over-year. Net income in the first quarter was $69.3 million, net income per share on a fully diluted basis was $12.05 per share. Operating expenses were $105.9 million or 33% of revenues in the first quarter compared to $94.5 million or 33.9% of revenues in the prior quarter, a 90 basis point improvement. Selling, general and administered expenses were $62.9 million or 19.6% of revenues in the first quarter compared to $61.4 million or 22.1% of revenues in the prior year quarter a 250 basis point improvement. Adjusted EBITDA was $157.7 million for the first quarter and increased to 18.5% from the prior year quarter. Our adjusted EBITDA margin increased 130 basis points year-over-year going from 47.8% to 49.1%. Capital expenditures totaled $64.8 million for the first quarter of 2020, which equates to 41.1% of adjusted EBITDA and 20.2% of revenues and includes $8 million related to Fidelity operations. In the first quarter of 2020 we paid $12.8 million in dividends to shareholders. From a liquidity standpoint, we borrowed $100 million under our revolving credit facility during the first quarter for general corporate purposes including four potential and completed small acquisitions and investments. We had approximately $242 million of cash on hand as of March 31 and we continue to generate significant free cash flow. By the quarter end our balance was approximately $1.9 billion consisting of term loans, revolver borrowings and finance lease liabilities and we had $221.3 million available for additional borrowing under our revolver. Overall our debt to last quarter annualized adjusted EBITDA after netting cash on hand against debt was 2.6 times providing us ample liquidity. A few other items before we take questions. First, we do not anticipate a delay in our overall three year timeline to integrate Fidelity. We were fortunate to have at long pre-closing period to prepare and we believe the knowledge and experience gained in our prior immigration projects has and will continue to make us more efficient. This combination gives us confidence that we can achieve a seamless integration over our originally planned timeframe. Second, as a reminder, our annual video rate adjustment, which was implemented in February of last year was implemented in March this year. In addition as we communicated last quarter, we mapped existing customers on latest and new way pricing and packaging over to our smart packages. Third, in light of our extended commitment to the SEC's keep America's Connected pledge along with our other efforts to provide continued connectivity and ease of the financial burden for customers and communities impacted by the COVID19 pandemic, we anticipate our second quarter will be negatively affected. As Julie already mentioned the drivers for this include lower data overage fees, late charges and reconnect fees as well as higher labor bad debt and other expenses, we also anticipate that due to the current environment, we'll see reduced advertising and business services revenues. We believe these negative impacts along with potential for others will be partially offset by a larger than usual quarterly increase in new residential data customers and revenues. The extent of such impacts will depend on the duration and severity of the pandemic among other factors. Lastly, on the subject of M&A and use of capital, we will continue to follow our balanced strategy to deploy cash and grow the business. As we've said before that until the combination of seeking broadband related acquisitions and investment opportunities in rural markets as well as capital projects intended to drive long-term growth. On that topic, I want to mention that we recently closed a small investment in the fixed wireless company serving rural America in close proximity to our current geographic footprint and we also provide a Letter of Credit support to another fixed wireless company with similar characteristics. Whether it's through expanding our existing footprint or acquisitions and investments that look like Clear Way, Fidelity or Fixed Wireless, we believe these capital deployments are in alignment with our strategy to bring reliable broadband to small and underserved communities across the country. Ailey, we're now ready for questions.
Operator: We'll now begin the question-and-answer session. [Operator instructions] Our first question comes from Philip Cusick with JPMorgan.
Sebastiano Petti: Hi, this is Sebastiano on for Phil. Just had a quick question Julie or Stephen if you could perhaps quantify the number of subs that are either on the FCC pledge or the $15 megabit offer that's currently in the market and for that 15 Mb offer, have you seen any substrate down or is this kind of more for you on new acquisition side.
Julie Laulis: As far as the 15 Mg plan goes, we have less than 2% selling to that plan. The people that are calling us and there are quite a lot of them were going online on to our shopping cart are seeking out higher level plans 200 Mgs or more. So a very little take rate on the 15 Mg plan. As far as commenting on how many people are covered under the FCC Americans Connected Plan that all of our customers. We're committed to not assessing our late fee or just connecting any residential or business customer until the pledge period ends at the end of June.
Sebastiano Petti: Just kind of following up on that, is there a number of subs perhaps that have gone into late payment or in arrears? Any color on that.
Julie Laulis: Sure. It's hard to say who exactly have been in arrears because there are customers that pay us right over and then there's customer that pay when they get reminders that they are about to be disconnected but that being said, we have about 10,000 more accounts that are past due at this stage than we ordinarily would have.
Sebastiano Petti: Okay. That's hopeless and then Steven just mentioning on the M&A aspect, I think you mentioned two small acquisitions or Letter of Credit in small investment. Were they both fixed wireless and then just on that, have you seen an uptick perhaps since last quarter you touched on perhaps willing to do some JV or small type investments. Have you seen an uptick in the COVID environment or any color on that would be great. Thanks very much.
Steven Cochran: Yeah so I said, both of these I would say fall into that investment bucket. Neither one of these were acquisitions we're just making joint venture investments in these two fixed wireless companies that we mentioned. And so they were both underway before they started. I don't think that we've seen any near-term impact. I think what will come down the road I think is to be determined, but I would say we had a variety of things in process and most of those in process have continued but nothing new is popping up yet. I think there is probably still some level of waiting to see what the markets are going to do from a debt standpoint and another before certain people jump in with opportunities.
Operator: Our next question comes from Gregory Williams with Cowen and Co.
Gregory Williams: Great. Thanks for taking my question. So it sounds like of the last question is very little sell on the low-end plans. So when you we talk about our second quarter you seen thus far in terms that you say that churn is extremely low in your pay for our gross ads are still strong because you're still allowing home which variables are there and if I could ask you one just on the ARPU and the ARPU impacts you're raising with the data overage fees, can you help characterize that and what that impact could be maybe fine tune out may be perhaps how many subscribers typically go over?
Julie Laulis: Hi Craig, it's Julie. So our churn based on our canvassing for HSD is incredibly low in the industry and of course it's even lower because we're not disconnecting anyone for nonpayment. So yes, churn is very low. With that being said, obviously we've already talked about the number of installations that are happening on a weekly basis are record breaking almost each and every week. On the terms of ARPU I think I couldn't quite get stuff was wavering a little bit but the second part of your question seem to be around how many people typically go over our data guidelines. And something that isn’t something that we publicly address specifically, but what I can tell you is far and away than majority and I mean the majority of people, do not go over our data guidelines. The majority of people don't even know they exist because they stay comfortably underneath of them. But there is a small percentage that do go over. And for those, either they can upgrade into a higher level plan with more data or possibly take our unlimited option where they'll pay for the additional gigs, their choice.
Steven Cochran: Yes. And Greg, just one thing I'd add to the first question you asked about because we're not able to go into homes, we are still doing installs even though we're not able to go into homes. And I think that's one of the places where I think our team has just been fantastic in their way to figure out how to do installs without going in the home and the amount of customer self-installation and figuring out ways to install people even though we don't have a drop-down there. It's been awfully impressive to be able to do the volume. Yes. And then on the other question, too, is there's the question Julie mentioned about, well, we have very few people who go over. We probably have more people go over, but we don't really think of that as lost revenue now because they wouldn't have been going over historically. So even though we gave them that, if you think about the progression, there's not a huge amount of lost revenue associated with that, although we'd be giving up revenue for the fact that usage has spiked in the short term.
Julie Laulis: But it was the right thing to do.
Operator: Our next question comes from Craig Moffett with Moffett Nathanson.
Craig Moffett: Hi, Two things, One, I know you've talked about it a lot, but I just want to make sure I'm perfectly clear, when you talk about the headwinds from the lack of usage overages and what have you, are you suggesting that the that overall broadband ARPU will be sequentially negative next quarter or year-over-year negative next quarter? Or just that it will be those will be meaningful headwinds relative to prior years? And then, I guess, second, you've talked a little bit about M&A, but I guess given the dislocations and everything from operations to the credit markets, is this an opportunity for you to try to find perhaps smaller cable operators that may be more eager to sell given the financial environment?
Steven Cochran: Sure. I would say on the first question, since we don't give guidance, we wouldn't really say what the forward looks like, all we would say is that it will be less than it would have been without it. And I think the one thing we said was that we had a $2 million impact of all of those things in the first quarter, which really wasn't until the second half of March. And so that's really only kind of a half a month impact. So all things added together, you could say is a $4 million to $5 million month impact at the max. And then that's offset by the higher growth that we've had and the incremental revenue that we'll get from more customers and more activity. And then on the M&A front, yes, we absolutely think that there will be some opportunities that present themselves. And that's where we think having a balance sheet like we have should put us in good position, and we want to make sure that we're in great both financial and operational perspective, being ready to take advantage of those opportunities when they present themselves.
Operator: Thank you. Our next question comes from Kyle Evans with Stephens.
Kyle Evans: Hi, thanks for taking my questions. It's been almost 1.5 years since you closed on Clearwave. Could you give us an update on how that's kind of flowing through the rest of the business and what you've learned over that 1.5 years? And then you've had two questions that are focused on kind of the sell-side of potential M&A. Could you give us an update on what you're seeing from maybe the private equity infrastructure firm side in terms of their level of interest in doing acquisitions?
Julie Laulis: Do you want me to hop in for you?
Steven Cochran: Sure. Yes.
Julie Laulis: So Clearwave is a wonderful acquisition. The folks there are I don't want to say they're untouched by pandemic because, certainly, they are, but they continue to complete installations at an accelerated rate ever since we took ownership of them. We have allowed them the capital in order to set up a second construction site, if you will, a hub. They've hired up not quite double the staff, and they are building more square footage at a cheaper rate than ever before. They are continuing, and actually, the Sparklight business folks are as well, to sell enterprise businesses throughout this pandemic. We could tell you stories that would really warm your heart. I mean you can imagine what the who is coming to us during these periods of time and asking for service. So Clearwave is doing very well throughout the pandemic.
Steven Cochran: And then on the M&A side, I mean, obviously, we see them as potential competition. But clearly, private equity and infrastructure continue to remain interested in the space. There's probably a variety of transactions, some that were underway before it happened and literally, the deals were done and they just had to close. And most of those have found a way to closing, even though it sounds like financing was probably a tougher piece down the stretch than they thought it was going to be going into it. There was other, I would say, smaller transactions that have managed to go through the process and continue to get done. And then there's other transactions where I think they just decided to take a pause. But in talking to private equity groups and talking to infrastructure funds, I think they seem as interested in ever in the space because they see value in it. I think especially those infrastructure funds who made to move into just telecommunication networks in general, I think a lot of them are faring much better than others who hadn't. And so I think this is only strengthening the position that our types of networks are truly core infrastructure and infrastructure-like assets.
Kyle Evans: One quick follow-on. You mentioned that you expected a seamless integration of Fidelity and no change to your three-year time line. Are there some milestones that we should be looking for along the way so that we know you're on track?
Steven Cochran: I'm not sure there's anything that we would actually tell you. But no, I'm just...
Julie Laulis: We've already integrated payroll and benefits. We're imminently connecting networks together. All the checklist applies, on things we did with some of the others.
Steven Cochran: Yes. The integration team led by Eric Lardy has done such a great job in getting prepared. I mean you can tell so many lessons were learned through the new wave process and so many things that just haven't become issues. And some of it also helped by the fact of just the timing of the Viacom contract. And so many things that we were able to realize sooner in this process because of the time frame we had to close. But I would say we're very well down the road of that. And honestly, the bigger pieces will be spending the capital on the upgrade networks piece of that. So the integration CapEx is the piece that will take over the three-year time frame, but a lot of the heavy lifting on the expense side is well underway.
Operator: Thank you. Our next question comes from Frank Louthan with Raymond James.
Frank Louthan: Great, thank you very much. Talk to me a little bit about the impact on your SMB business, how you're looking at that kind of going forward, what the sales funnel looks like through this quarter, and what sort of percentage of your customer base there are more at risk and so forth. And then with the interest in the WISPs, is that something you have further interest in, in wireless and looking ahead, some of the wireless license auctions that are coming up?
Julie Laulis: Well, I'll start from reverse, I guess. With regard to WISPs, Frank, we are agnostic on the technology that will deliver broadband into rural America, so we consider that our sort of space, and so whatever it takes to bring people the connectivity that they need. So I'd say, yes, let's see, first part, SMB, we talked about SMB representing about half of our total business services revenues. And just recently so this will be after the first quarter, most recent counts are 1% of our reoccurring revenues have been either paused or asked to be downgraded to a lower level of service. How this turns out is I mean this is another time where I'm very thankful to see geographically diverse. I mean we have states that are already open and are doing okay. We have states that have had very little health effect from this pandemic, not that it's going to stay that way, but so far, they're operating just fine. So the variability across our states is quite wide. How it turns out is the thing we are going to be watching very closely.
Steven Cochran: Yes. And the only thing I would add is on the business side, clearly, there's some businesses that are closed and so the sales funnel related to that piece becomes tougher. At the same time, there's a lot of businesses that need more capacity. They got there are people working from home, so everyone will be being in school districts trying to teach through that process. And so with all of that that creates additional bandwidth needs. And so our we have our sales teams focused on any and all of that and trying to make sure that where there's demand, we're meeting that demand. And when businesses open back up, that we're there to either turn them back on or turn them up for the first time.
Julie Laulis: And while I won't talk to it relative to normal, I saw their results from last month, and I was quite astonished at what they were able to do.
Frank Louthan: Great, thank you very much.
Operator: Our next question comes from Norman Kramer with Kramer Investments.
Norman Kramer: Hello, good afternoon. I have a couple of questions. First, I'm unfamiliar with the term fixed wireless, so I'm wondering if you could explain, please, what that business means exactly, in other words, what type of business it is. And you had mentioned doing several smaller acquisitions. What size of an acquisition would you consider smaller, either in terms of subscribers or revenues? Or whatever color you could give on that would be great. And lastly, you did not mention service extensions further out on your network. So do you have anything you might add there?
Steven Cochran: Sure. So on the first question of fixed wireless. Fixed wireless is basically services throughout the country that are generally referred to as a WISP, wireless Internet service providers. That is basically, for the most part, a point-to-point type internet service that's done wirelessly, and especially in very low density areas where building to those is not economical. And so as we think about it, Julie mentioned earlier the 950 communities we have across 21 states, all outside of those very small communities are still thousands and thousands of homes all around us that the density themselves wouldn't justify building out to, but still need Internet service. And their choices generally are either a low-level DSL or a satellite service of some sort or fixed wireless, and we think fixed wireless is an interesting technology. We're not going to be in the satellite space. We're obviously not going to be in the DSL space. And so that leaves the opportunity to still provide those customers that surround our communities with the technology that still provides a broadband-level service. And that technology continues to improve, and we've worked on both deploying it ourselves in a handful of markets, but then also making investments in these companies that have been doing it for a period of time, both for the learning as far as with the value creation opportunities that these small companies themselves have. And so that's the nature of what we're looking at in those. From a small investment standpoint, some of it really comes down to I would tell you that we probably think of anything from $5 million to $20 million in EBITDA is probably what we would consider small. Once you get over $20 million of EBITDA, it's at least not small anymore. It may not be large at that point, but it's probably not in the smaller category anymore. And many of them, we also think about, okay, what could we do just with our existing balance sheet, combination of the free cash flow that we generate, combined with revolver capacity that we have and how can we fund those acquisitions. So that's the context of how we think about those. And then lastly, on your question about extensions. I think extensions are really just, for the most part, opportunistic, where, for instance, we're serving a school district, and three of their buildings are outside of our existing footprint, and so we have the opportunity to build to those buildings. And through doing that, we pass additional businesses, which increase our addressable market or we win a fixed or we win a fiber-to-the-tower contract to build out 40 towers across a variety of places. All of that build requires us to put additional fiber in the ground, that additional fiber passes buildings. And as we do that, we once again increased our addressable market. And now we go sell to all of that new addressable market that didn't exist. So that's what we talked about when we talk about extending our network.
Norman Kramer: Okay, that's very, very helpful. Thank you.
Operator: Our next question comes from Brandon Nispel with KeyBanc Capital Markets.
Brandon Nispel: Okay, great, thank you for taking the question. Okay. Great. I guess two, if I could. One for Julie. Julie, in your prepared remarks, you sort of alluded to evaluating your existing data plans. I was hoping you could elaborate on that and what it might mean in terms of your ability to offer unlimited data and/or change around the pricing structure that you have currently. Second, for Steven, I was hoping you could provide us some stats. I think similar to what we're trying to get at is sort of a percentage of the base that typically receives an overage on a monthly basis, same thing with the unlimited data product. And then I'm not sure if you said it, but could you share with us the percentage of sales that were self-install during the quarter?
Julie Laulis: Brandon, it's Julie. So yes, obviously well, first of all, we evaluate our data plan guidelines every year. And I don't mean we just do it annually, we're watching it all the time, but we've made adjustments here to fore on an annual basis. Clearly, we have a situation now where we don't mean to penalize customers for going over data plans. We set data plans that are that make sense for the majority of far and away, the majority of customers in that plan. With the shift in usage, we think it's only prudent to take a look at that data and try to triangulate what would be fair and normal under these new circumstances. That modeling and that process is going on now. We saw data utilization consumption that is grow through the first quarter, through April, all the way through the beginning of May. And now it seems to be settling down and actually going back down. Now that's probably people are starting to maybe go back to work, schools are starting to close their season, so that makes sense. That modeling is ongoing. I can't tell you what they're going to be because I don't even know what they're going to be because we're still modeling it. We do have unlimited data. We have that option. It's currently available to customers for $40 a month. So any plan can opt in to unlimited. And in fact, we sell that in about 20% of the time. 20% of the time, our new customers coming in the door will take that option. Our pricing and packaging, what we in plan called flex, started last January, and it's working very well. We don't I don't think we have a reason at all to change our pricing and packaging at this time. Data guidelines, yes, pricing and packaging no. Currently, we have over 65% of the folks coming in the door opting for a plan that is 200-megs or higher. And the churn is incredibly and even pre-COVID, the churn was incredibly low, which tells us that the satisfaction with those plans and the value of those plans is right sized. So other than redoing the guidelines, I think we're good to go.
Steven Cochran: And then on the other side, as far as the stats around...
Julie Laulis: Well, I can talk about self-install.
Steven Cochran: Yes, go ahead.
Julie Laulis: So self-install went up 20% first quarter of 2019 to first quarter of 2020, and that won't be a surprise to any of us, right? And self-installs are only available in Legacy CABO at this point in time, neither NewWave or Fidelity have them.
Steven Cochran: Yes. And then on the other we're not going to break out the variety that gets to that $4 million to $5 million a month because we can talk about overages, but overages would be compared to what they were historically to what they are now, so how much of that is really lost revenue versus just revenue you could have had additionally. And so I think that's kind of the guidance we'll give around the incremental/cost and lost revenue. I do say that our commercial our business services VP wanted to make sure we mentioned that April sales were actually higher this year than they were last year, which I think is a good sign of businesses in the markets we serve.
Operator: This concludes our question-and-answer session. I would like to turn the call back over to Julia Laulis for any closing remarks.
Julie Laulis: Thank you, Riley. All, we appreciate your time today. Let me leave you with a few closing thoughts. Now, as always, we are living our purpose, promise and values. We strive to keep our customers connected to what matters, including their families, their children's education and their ability to earn a living. We are fully committed to this mission. I want to close again thanking each of our associates for their tireless efforts to fulfill our purpose and serve our customers with essential connectivity during these uncertain times. We appreciate everyone joining us for today's call, and we look forward to speaking with you again next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.